Operator: Good day and welcome to the Sysco's first quarter fiscal 2016 conference call. As a reminder, today's call is being recorded and we will begin today's call with opening remarks and introductions. I would now like to turn the conference over to Neil Russell, Vice President of Investor Relations. Please go ahead, sir.
Neil A. Russell - Vice President, Investor Relations, Sysco Corp.: Thanks, Daniel, and good morning, everyone. Welcome to Sysco's first quarter fiscal 2016 earnings call. Joining me in Houston today are Bill DeLaney, our President and Chief Executive Officer; and Joel Grade, our Chief Financial Officer. Before we begin, please note that statements made during this presentation that state the company's or management's intentions, beliefs, expectations or predictions of the future are forward-looking statements and actual results could differ in a material manner. Additional information about factors that could cause results to differ from those in the forward-looking statements is contained in the company's SEC filings. This includes, but is not limited to risk factors contained in our Annual Report on Form 10-K for the year ended June 26, 2015, subsequent SEC filings and in the news release issued earlier this morning. A copy of these materials can be found in the Investors section at sysco.com or via Sysco's IR app. Non-GAAP financial measures are included in our comments today and in our presentation slides. The reconciliation of these non-GAAP measures to the applicable GAAP measures are included at the end of the presentation slides and can also be found in the Investors section of our website. All comments about earnings per share refer to diluted earnings per share unless otherwise noted. To ensure that we have sufficient time to answer all questions, we'd like to ask each participant to limit their time today to one question and one follow-up. At this time, I'd like to turn the call over to our President and Chief Executive Officer, Bill DeLaney.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you, Neil. Good morning, everyone, and thank you for joining us today. Sysco's first quarter financial results announced this morning reflect important early progress toward achieving the three-year financial targets we established for operating income and return on invested capital at our September Investor Day. The key leverage for realizing these targets are accelerating local case growth, improving gross margins, leveraging our supply chain costs and reducing administrative costs. The quality of our overall business results for the quarter was very good, driven by strong volume growth with both our locally and corporate-managed customers and sound gross margin management. However, sales growth was minimal and earnings were essentially flat due in large part to the unfavorable impact of both food cost deflation and currency translation. These two factors have somewhat restrained our performance for a good portion of the calendar year and we expect that these headwinds will persist for the next few months. Looking at broader economic and industry trends, we continue to see mixed data points with evidence of both underlying strength and optimism, but also pockets of concern. Consumer confidence recently rebounded to its yearly highs in September, but then fell back in October. Unemployment remains at low levels although non-farm employment levels have decreased steadily since May. NPD data for the three-month period ending in August showed continued positive restaurant spend with traffic growth rebounding from the prior three-month period. The QSR segment continues to be the main driver of positive restaurant traffic while fine dining segment also returned to a positive growth rate. Overall, restaurant traffic appears to be slightly positive. While still favorable on an absolute level, recent NRA data for September showed a decline in restaurant performance and foodservice operator confidence to levels last seen in late 2014. Turning to our first quarter results, I'm especially pleased with performance of our U.S. Broadline business. As you know, this part of our business represents approximately 70% of Sysco's revenues and 90% of our profits. During the first quarter, our U.S. Broadline operations delivered case growth of 3.4% including local case growth of 2%, the sixth consecutive quarter of year-over-year local case growth. Gross profit dollar growth of 4.6%, nearly 2% more than our operating expense growth of 2.7%, and operating income growth of 6.4%. This performance was strong, especially after considering the impact of 1% food cost deflation in U.S. Broadline business, and drove Sysco's overall gross profit growth of more than 2% and year-over-year gross margin expansion of approximately 0.25%. Expense management trends continue to improve in much of our business as reflected in the $0.01 per case cost reduction in the U.S. Broadline business compared to the prior year. However, such improvement was offset by planned investment in merger-related carryover technology spend for projects that will provide key support to achieving our financial targets over the next three years. As I stated a moment ago, two of the key levers to achieving our three-year financial plan are: one, accelerating our local case growth; and, two, improving margins. Our results this quarter reflect good progress on doing exactly that. A few examples of the progress we've made in various areas to produce these results include our category management work, which continues to provide incremental benefits to both our customers and Sysco; improve Sysco brand penetration, especially with locally-managed customers; and continued progress with our revenue management development work and early success in our pilot locations. In summary, our underlying business has good momentum and we are in the right path to achieving our long-term financial and strategic objectives. For now, I'll turn it over to Joel for some additional details, and then I'll come back to summarize before we go to the Q&A.
Joel T. Grade - Chief Financial Officer & Executive Vice President: Thanks, Bill, and good morning, everyone. As Bill mentioned, the first quarter results were of good quality, in particular for our core underlying business, the U.S. Broadline. Today, I'm going to discuss the details of the first quarter results on an adjusted basis, which mainly excludes expenses related to the termination of the proposed merger of the US Foods, as well as provide some additional pro forma comparisons on a constant currency basis. Our first quarter sales increased by roughly 1%, despite the deflation and currency headwinds Bill noted. For some additional color on the inflation volatility we've experienced over the past year, we have transitioned from 5% inflation last year to a 0.2% deflation this year. In addition, as Bill mentioned, deflation in the U.S. Broadline was even greater at about 1% for the first quarter. From a category perspective, center-of-the-plate protein and dairy drove the majority of this deflation with disinflation across many other categories. To put the deflation in context, the deflationary environment has developed two times over the past 10 years, lasting three months to nine months in length when it occurred. As for foreign exchange, this quarter we saw continued strength in the U.S. dollar versus the Canadian dollar and the euro. Since Canada represents the majority of our international sales, the Canadian dollar valuation was the main driver for the negative 2% impact to sales in the quarter, which is the largest impact we've experienced in recent history. When we look at our sales on a constant currency basis, they're up 3%. Turning to other sales drivers, we reported solid case growth this quarter, including 3.4% total and 2% local in U.S. Broadline. In addition, local and corporate-managed case growth across our total Broadline operations remained healthy. Despite the headwinds from foreign exchange and deflation, gross profit growth was solid at 2.3% and gross margin expanded by 23 basis points over the prior year. Positive contributors to gross profit growth include solid local case growth, category management and improved Sysco brand penetration. On a constant currency basis, gross profit increased by 4.3%. Turning to expenses, certain items during the first quarter totaled $108 million, the vast majority of which were related to the termination of our merger agreement with US Foods, including $10 million that was adjusted out of operating expenses and $95 million that hit the interest expense line. As previously mentioned, this will be the final quarter to be impacted by certain items pertaining to the US Foods merger termination. In total, our adjusted operating expense in the first quarter increased by $52 million over the prior year, mainly driven by payroll, which was impacted by both volume increases and a $9 million increase in our long-term incentive accruals. The increase in the long-term incentive accrual was related to our total shareholder return metric and was driven by the improvement in our stock price performance relative to the S&P 500. During the first quarter, we also started to see early signs of productivity improvements and cost reductions within our supply chain, as cost per case is down approximately $0.01 in our U.S. Broadline business. On a constant currency basis, operating expenses grew by about 5%. Adjusted operating income was down 0.5% or $3 million. However, on a constant currency basis, adjusted operating income would have been up 1.2%. As for our SYGMA business, we are beginning to see modest signs of improvement. For the first quarter, SYGMA sales were down 6.2%, as segment operating income grew 1.4%. As we previously mentioned, we have transitioned some SYGMA business, which did pressure sales, but did not negatively impact our profitability. That said, we remain focused on improving productivity, efficiency and customer profitability in SYGMA and will continue to closely monitor its progress. Moving to other income, I want to remind you that we consolidate the results of some of the entities we control, but do not have 100% ownership of. These represent investments in joint ventures, including some that are in the early investments or start-up phase. As such, our other income line this quarter reflects a $15 million improvement that is mostly attributable to the elimination of the non-Sysco portion of the results associated with these ventures. Our income tax rate for the first quarter was approximately 36%, both on a GAAP and on an adjusted basis. As a reminder, the adjusted rate is on the low end of our 36% to 37% normalized rate. The GAAP rate benefited from the impact of merger-related items, which offset the strength in our U.S. business. Adjusted net earnings grew about 1% and benefited from both higher other income and a lower tax rate versus last year. Adjusted earnings per share were flat for the quarter. Foreign exchange impacted earnings per share results by $0.01 per share. In addition, share count was up over 7 million shares versus the prior year, negatively impacting earnings per share by $0.01 per share as well. As a reminder, we have historically repurchased shares in the open market to offset dilution from new share issuances, but we have not done so for the past five quarters. We expect to resume these purchases later this year. As you may know, we have commenced an accelerated share repurchase program or ASR, but it had no impact on share count in this quarter. For those of you not familiar with the mechanics of the ASR, here's some details. Our broker borrowed 85%, or approximately 32 million shares, and delivered them to us on September 28, at which time our outstanding share count was reduced by that amount. Over the next several months, our broker will then acquire these shares through various mechanisms, including open market purchases. The balance of the shares covered by the accelerated share repurchase will be trued up during settlement over the next several months. As it pertains to cash flow, cash flow from operations for the first quarter was a negative $261 million, including the cash impact of certain items which reduced cash flow from operations by $260 million. Excluding the impact of certain items, adjusted cash flow from operations was essentially flat. From a working capital perspective, we saw improvements in net working capital this quarter, driven by improvements in both the accounts receivable and inventory areas. This resulted in working capital using approximately $70 million less cash in the first quarter of fiscal 2016 than it did in the first quarter of fiscal 2015. Net CapEx was $120 million for the quarter, generally flat year-over-year, mainly reflecting fleet replenishment and our investments in technology initiatives that we discussed during Investor Day. Free cash flow for the first quarter was a negative $381 million, which includes the $260 million impact of certain items. Please keep in mind that our free cash flow is seasonal, as we use more cash earlier in the fiscal year and then see larger sequential quarterly increases in free cash flow throughout the remainder of the year. Finally, I want to remind you of the expected impact of the accelerated share repurchase on our fiscal 2016 share count and earnings per share. On our last earnings call, we said that we anticipate a benefit of approximately $0.03 to $0.04 of diluted earnings per share in fiscal 2016, driven by a 4% to 5% reduction in average shares outstanding, partially offset by higher interest expense and new debt issuance. Now that we've begun execution of this plan, we still maintain this guidance. I'll now turn it back to Bill for his closing remarks.
William J. DeLaney - President, Chief Executive Officer & Director: Thanks, Joel. In summary, I am encouraged by the quality of our first quarter results and in particular with performance of our U.S. Broadline business. We are now experiencing consistent improvement in our local volume growth trends and gross margin management in this all-important part of our business, as a result of improved execution of several commercial initiatives implemented over the past few years. Expense management trends have improved of-late, and we are also making good strides in developing and refining action plans to accelerate additional cost improvement benefits, both in our supply chain and administrative areas of Sysco. We will provide regular updates on an ongoing basis in achieving our targeted results for improving our customers' experience, enhancing associate engagement and meeting our 2018 financial goals for operating income and return on invested capital. And with that, operator, we'll now take questions.
Operator: Thank you, sir. Our first question comes from John Heinbockel from Guggenheim Securities. Please go ahead, sir.
John Heinbockel - Guggenheim Securities LLC: Hey, Bill. So two things: number one, what's the update on the competitive pricing environment? I think it had heated up a little bit going back a couple of months, but yet I would think as we go forward here and things normalize that we would see that calm down quite a bit. And then, secondly, if I look at your U.S. Broadline EBIT up 6.4%, is there any way to kind of parse through what that might be in a more normal inflation environment? Would it be the same but have different components, or would it be different?
William J. DeLaney - President, Chief Executive Officer & Director: Okay. Good morning, John. On that competitive environment, I would say pretty much what we've been saying. The competitive environment remains very acute and comes in all forms of competitors, large, small...
John Heinbockel - Guggenheim Securities LLC: Yeah.
William J. DeLaney - President, Chief Executive Officer & Director: ...local, regional, et cetera, national, that kind of thing. As far as I think what you're getting at, some of our larger competitors, they're on different stages right now in terms of where they are in developing and driving out their strategic plans and that type of thing. So I would say generally, John, the competitive environment remains very competitive, but reasonably rational. And yet at the same time, I would tell you in any given day, in any given market, there's probably some volatility and probably some inconsistencies with what I'm just telling you there. But I don't think a big change from when we would've talked a few months ago. As far as the U.S. Broadline's concerned, it's good question, I would say to you – let me, without the deflation, honestly, I would just tell you it would have been much better, or at least somewhat better without the deflation. We had good gross profit growth, as I said, even with deflation, very good case growth and we managed the margins well. We've got work to do, John. So we still have work to do on the expense side here, in all parts of our business, and we're beginning to make some strides there. But I would say, without the deflation, the U.S. Broadline would have been – probably had somewhat of a stronger performance.
John Heinbockel - Guggenheim Securities LLC: And then, just as a follow-up to that, when you think about your long-term targets, I mean, it strikes me that with all you're doing on revenue management and kind of where you've been, gross margin – and I guess this was hit on a little bit during the Analyst Day, but gross could surprise to the upside, the other piece, right, as it holding SG&A growth to 3% seems a little tough if you're seeing some case growth. At the end of the day, do you – I mean, the 1% spread, that's the goal. Do you think it's pretty likely that that spread holds? But it's possible that we see both the gross profit and SG&A growing some – a fair bit faster than that, or that seems unlikely?
William J. DeLaney - President, Chief Executive Officer & Director: Well, I think it just depends. I mean, right now, deflation is somewhat of a headwind as it relates to the gross profit growth. And there's a lot of things, as you know, John, that impact margin from macro events to mix, and all that type of thing. I think what I'm conveying to you today is a lot of these initiatives that we've taken on over last two years or three years are beginning to bear fruit, whether it's how we manage our sales force, rolling out CatMan, continuing to work on the brand in the right way in conjunction with CatMan, and early days of revenue management which manifests itself in a lot of different ways. So I'm feeling good about our ability to manage margin. I think what you heard us say at the Analyst Day or the Investor Day, there's things we don't control. So right now our GP was up – it was up what it was up overall, was up nicely in the U.S. Broadline. But I would – we're not at that spread right now overall. So I would say to you the plan here is to get back to that spread of at least 1% between gross profit dollar growth and expense growth. And what do we need to do to do that? We need to maintain the momentum we've got on local case growth, we've got to continue to manage those gross margins well, and we do need to get our expense increases to a lower level.
John Heinbockel - Guggenheim Securities LLC: Okay. Thank you.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you.
Operator: And we'll take our next question from Meredith Adler from Barclays. Please go ahead.
Meredith Adler - Barclays Capital, Inc.: Hey. Thanks for taking my question. I was wondering if there were any particular initiatives you were using to drive the locally-managed case growth? And then, I have one other quick question.
William J. DeLaney - President, Chief Executive Officer & Director: I think it's a lot of things, Meredith. If you recall the Investor Day, Tom Bené spoke, he took you through a lot of different strategies and processes that we're doing. I would say under Tom's leadership, there's some basic things, there's a very tight cadence of meetings between him and his market leadership in the field, weekly, monthly, quarterly, that type of thing. So we've got good continuity there. Some of the segmentation work that Tom spoke to, both in terms of customer segmentation, product category opportunities, those are – looking for opportunities within every cell that we operate in, whether it's geographically across customer segments, we talked about Hispanic, we talked about potential more opportunity in the local fresh area, that type of thing. But also just basic things where you sit down, as a management team, whether it's locally or through the CatMan group and look at categories that you may be underpenetrated in. So we've got good alignment around good basic business principles, good connectivity between what we're doing here at corporate into the market and then obviously where it all happens in the field. And I will also tell you, CatMan continues to help. It's going to – as it matures in terms of some of the sourcing aspects of it, it's going to help us, I think, create more momentum on innovation and, over time, optimizing our SKU count as we strike the right balance between reducing SKUs where we have redundancies, but also broadening our SKUs for some of the items that may be new or maybe don't move quite as fast, but they're particularly important to customers. So a lot of it's process and a lot of it's, again, going back to these commercial initiatives that we've been developing and employing here over the last two years or three years.
Meredith Adler - Barclays Capital, Inc.: So is it – are these changes, or would you say just getting some things that you've started working on sort of coming to fruition?
William J. DeLaney - President, Chief Executive Officer & Director: It's both. So if you go back and so the – some of the sales tools and that type of thing we've been using for three years or more, they're beginning to mature; CatMan has been out there for two years or three years. But the revenue management work is really just beginning. And so we're in various stages on all these. I think probably the biggest thing right now, outside of that, Meredith, is I just feel we have really good alignment right now across that whole triangle we took you through between facing up, where it matters most which is at the customer level, supporting that in the market and then continuing to develop good tools here, but field-ready tools and we're getting better at that.
Meredith Adler - Barclays Capital, Inc.: And then just my quick sort of follow-up question is, I noticed again this quarter you had added back some severance costs and I was wondering was there some kind of a severance program or a layoff program somewhere in the company that you hadn't specifically called out?
William J. DeLaney - President, Chief Executive Officer & Director: We have some ongoing opportunities there. I'll let Joel speak.
Joel T. Grade - Chief Financial Officer & Executive Vice President: Yeah, Meredith, this is Joel. I'd call that more just on a normal basis. There's nothing significant that happened there.
Meredith Adler - Barclays Capital, Inc.: So they're added back for what reason, if they're ongoing?
Joel T. Grade - Chief Financial Officer & Executive Vice President: They're added back because I think as we go through this transformation, Meredith, there's going to be some peaks and valleys on that line and right now we're in a little bit of a valley, which is nice. But it's – again, we're transforming here a $45 billion, $50 billion company that's been in business for 40 years. So we'll continue to optimize our workforce.
Meredith Adler - Barclays Capital, Inc.: I see. Okay, thank you.
William J. DeLaney - President, Chief Executive Officer & Director: Yeah.
Operator: And next from Jefferies, we have Mark Wiltamuth. Please go ahead.
Mark Gregory Wiltamuth - Jefferies LLC: Hi. Good morning. Wanted to just kind of find out where some of the weakness is here, because if your Broadline business is 90% of profits and that was up 6.4%, and SYGMA was actually modestly profitable, where is the big missing link here to get you down to a flat operating income performance? Is there some sizeable international losses, or just non-core businesses that are weaker?
William J. DeLaney - President, Chief Executive Officer & Director: I would say most of our businesses perform very well. There's a couple that didn't. I wouldn't say those are overly material to your question. As I mentioned in my comments, we've got some planned expense increases at corporate, largely in the business technology area. We talked about this over the last couple calls. We had some projects that we're going down the road in anticipation of US Foods merger on some opportunities here that we think are very compelling, especially in the customer-facing side of the business. And so we've continued on with those and that's created, on a year-over-year basis, a bigger delta on the expense side of corporate. And Joel mentioned, we took a hit on some long-term incentives here because of the stock performance. So it's a little bit of everything, but it's mostly corporate, some of which was planned, some of which was just kind of the mark-to-market, if you will, of the LTI.
Mark Gregory Wiltamuth - Jefferies LLC: Okay.
Joel T. Grade - Chief Financial Officer & Executive Vice President: As well as the foreign exchange impact, just as a reminder.
Mark Gregory Wiltamuth - Jefferies LLC: Okay. And this – over time, is there going to be some normalization of the corporate expenses now that you're kind of not pursuing US Foods? And maybe can you give us an arc on what that spending looks like?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, I would answer that in the context of all expenses. And so again, as we continue to evolve here as a company, there's certainly a corporate group and there's markets and OpCos, but we look at optimizing the spend throughout. And so if you go back to those four levers I talked about, the last two levers are really about optimizing our expense management and so there's significant opportunity there, we believe, both on the supply chain side as well as on the administrative side and we're working through that now. You saw some of it on supply chain side this quarter. We had a pretty good quarter there. And on the administrative side, those are more thoughtful processes that we need to go through and we'll communicate those to you over the next few months.
Mark Gregory Wiltamuth - Jefferies LLC: Okay. Thank you.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you.
Operator: And following, we have Edward Kelly from Credit Suisse. Please go ahead, sir.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Hi, guys. Good morning. Hey, Bill, just a follow-up on the cost control side. Your expense growth up in the 3% range and, clearly, just looking at the way that you reported U.S. Broadline performance, there were some expenses in here that sound like over time should eventually kind of roll off. How should we think about SG&A growth over the next few quarters? And then, over time, is there an ability to grow SG&A at a slower rate than what it's growing at today? Because the case growth was pretty good, you had 3% SG&A growth, but there's a lot of corporate spend in there. If you could just sort of help us put it all together in terms of how we should be thinking about this?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah. Thanks, Ed. The way I would be thinking about both the way we laid out our three-year goals as well as the way this year's plan is targeted is, in that three-year plan we said it wouldn't be linear, this year's not going to be linear, and there's less of a trajectory, if you will, in the operating income in the first year than there is in year-two and year-three. The short answer to your question is, yes. I think as we get into breaking down those costs, especially, I don't really want to call them SG&A, I'm just going to call them administrative costs regardless of what part of the business they're in. Whether they're locally or corporate or in between and whether they're purely admin or just administrative in nature, you should expect to see those numbers – that growth to – that curve to become more shallow as we go forward. What I was saying on the earlier question was we did plan in some meaningful technology spend this year to finish off some projects that we had started with the merger that are very compelling from a customer-facing standpoint, but also have significant costs. And so that's driving a lot of that expense delta here right now. So I was pleased with the overall cost per piece in the business. The corporate department's actually managed their expenses fine. We have the technology spend and then we had this other issue here on the incentive accrual. So short answer to your question is, it will begin to grow at a slower rate, and that's probably going to take us another couple quarters to give you some visibility to that.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Okay. But then after that, shouldn't like the true performance of Broadline's, which is really what you're trying to communicate here, should be more evident?
William J. DeLaney - President, Chief Executive Officer & Director: Correct.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Okay. And then just a follow-up for you here. It's been a few months, I guess, at least, since Trian's become more involved with the company and, at the Analyst Day, you had kind of suggested that there hadn't really been too much, I guess, influence yet. I was just curious as to whether you could provide some update in terms of the impact they're having on your business and the way you think about things strategically, if at all, yet?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, sure. Well, I think at the Analyst Day, they had just come on (30:54) the board, I think, within a week or two that – or two or three weeks at least of that day. So I don't want to speak for them, but they've been doing – continuing to do their work. So they've pulled a lot of data and they're looking at a lot of information, they're visiting facilities, they're meeting with our management team, that type of thing. Their first real board meeting is our board meeting in November. And I'm sure we'll, at that point, between now and then and then after that, get better clarity on their thoughts in more detail and the breadth of their thoughts. And as board members, we'll work through it appropriately.
Edward J. Kelly - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks guys.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you.
Operator: And following, we have Karen Short from Deutsche Bank. Please go ahead.
Karen F. Short - Deutsche Bank Securities, Inc.: Hey. Thanks for taking my question. I had just two housekeeping questions and then a bigger picture question. Can you give us the case volume growth including SYGMA? That used to be a metric that you gave us, just wondering if you could give us that again?
William J. DeLaney - President, Chief Executive Officer & Director: We can get that for you, Karen. The only reason we don't show that anymore is because, obviously, we're going through some transition with SYGMA, so we don't think it's overly reflective of what's going on in the company. But if we can't give it to you in the call, we'll get back to you.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. And the second housekeeping I just had is, do you have the private label penetration as a percent of sales at the local level? Is it fairly consistent with the Broadline number that you have in your press release, or is it lower, higher?
William J. DeLaney - President, Chief Executive Officer & Director: We track it that way, but because you have customers that transition back and forth. Generally they go one way into pure Street to local contract to corporate-managed. We think looking at it in total is better. So I would say generally we're seeing a comparable growth with the local business as well.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. And then I guess just a bigger picture question. I guess, obviously, you've told us a lot about how you plan to focus on local customers, and it obviously sounds like the right strategy. But is there anything about Sysco specifically that give you a competitive advantage in capturing and retaining the customer? And I guess I'm asking because it's obviously a higher margin customer, so that strategically makes sense. But I mean, it doesn't make sense that all your competitors are going to be doing the same thing? So what is it about Sysco that makes you more attractive as a supplier or affords you better retention? Any color on that would be great.
William J. DeLaney - President, Chief Executive Officer & Director: Karen, I didn't understand, can you just restate the first part of your question? What is it about Sysco, is that what you're asking?
Karen F. Short - Deutsche Bank Securities, Inc.: Yeah. I mean, it just seems obvious that everyone should be going after the higher margin customer, which is the local customer. So all your competitors are doing the same thing, I would assume. So is there anything specifically about Sysco that would help you retain or capture a customer or have better success at capturing that customer and retaining them versus your competitors?
William J. DeLaney - President, Chief Executive Officer & Director: Sure. Well, I think there's a lot of things. I mean, I think it's not like we just started doing that, okay, we've been doing it for 45 years. Half of that $50 billion we do, roughly half of that is with local or Street, a little bit more if you go to local. So it's the DNA of the company. It's in our – it's woven into the fabric of this company. It's how we've grown to where we are today. I think the point we made at Investor Day is with some of the challenges we've had in the macro environment and the acute – the increased competition that came from 2009, simultaneously with us driving out a heck of a lot of transformational change. We've struggled over the last few years until last year to drive the local case growth. So it's nothing new, it's just something we haven't done as well as we would have liked over the last few years, and there's reasons for that. So in terms of why Sysco? I think it starts with our sales force. We've got 7,000 marketing associates across the country. Our structure that we continue to find ways to optimize, but one of the reasons we've remained very local is because, as I said many times, about two-thirds of our revenue stream comes from customers whose decision makers are domiciled within 100 miles, 150 miles of that operating company. So that creates a need, not just for local sales representation, but for local leadership with our presidents and senior teams there. So I think our geographic footprint, the talent of our operating teams, the experience and the breadth of our sales force, all these new things that we've been talking about earlier on the call on the commercial initiative side, from CatMan to rev man to segmentation, listening to our customers in a much more effective way through over the last three or four years, that have led to increased loyalty. The fact that we had the courage to take on transforming this company at a time – key inflection point in our country and in our industry, we're one of the few people in our industry that has taken on this kind of change. So I think the fact that we're forward-looking and we've got great people and we've got great strategy, I think those are all reasons why we should continue to have a lot of success.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. That's helpful. Thank you.
Joel T. Grade - Chief Financial Officer & Executive Vice President: And, Karen, this is Joel. Just the total Broadline plus SYGMA case growth was 2.4% for the quarter, as a follow-up.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. Thanks.
Operator: And we'll take our next question from Vincent Sinisi from Morgan Stanley.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: Hey. Good morning, guys. Thanks very much for taking my question. Just wanted to go back to inflation and deflation, what you're seeing on a category basis. I know that the slight deflation you call as center of the plate and dairy primarily, but how was that relative to your internal expectations for this quarter? And then has anything more recently changed? I know that you said kind of for the next few months, just maybe a little bit more color on how you see the inflation/deflation outlook this year?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, Vinnie, I'll start and then let Joel kind of tighten it up a little bit. I would say what's different is there's just a little more deflation than maybe what we would have expected three months ago when we were on this call in U.S. Broadline, and it appears to be lasting longer. And so I would tell you it's probably going to get a little worse before it gets better. We're seeing that early part of this quarter, and I think it could be with us at least into the third quarter. Joel?
Joel T. Grade - Chief Financial Officer & Executive Vice President: Yeah. And I guess the other thing I'd just remind you of, again, we certainly think about inflation in our business by category. And so, again, many of the categories we have are relatively flat and then so some of the volatility we're seeing really is in a couple categories. It's a little bit harder to see where that's headed, but again as Bill mentioned, it certainly feels like it's going to get a little bit worse before it gets better as we move throughout the rest of this year.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: Okay. Thanks, guys. And as a quick follow-up, at your Analyst Day you had made a quick mention of you doing some work with Kroger and some of its fresh products, I know that obviously that's probably pretty small at this point. But maybe just any kind of early reads or color on the scope and if that overall initiative is something that you could see expanding going forward?
William J. DeLaney - President, Chief Executive Officer & Director: Vinnie, I think what we said was, we're just beginning to do that work and it's just been a few weeks. So, so far so good, early days, but we're very excited about the opportunity.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: All right. Thanks, Bill.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you.
Operator: And following, we have Andrew Wolf from BB&T Capital Markets.
Andrew Paul Wolf - BB&T Capital Markets: Hi. Good morning. On the 2% local case growth, do you have a feel for how you would split that between what the market's giving you in terms of growth, maybe with independents having positive same-store sales, if they are, versus how much share you might be taking?
William J. DeLaney - President, Chief Executive Officer & Director: No, that'd be difficult, Andy. Certainly, as I said at the Investor Day, the market environment, even today's comments, there's not a lot of consistency to it. But I think when you look at it in the context of where we were five years or six years ago, or even two years or three years ago, we're in a better market environment. So I'm sure that's helping everybody to some degree, but I certainly would think that we're taking share with 2% growth. And we update those numbers about once a year.
Andrew Paul Wolf - BB&T Capital Markets: Okay. On the Broadline, the preview to the segment numbers, could you give us a sense of what the sales were up in U.S. Broadline?
William J. DeLaney - President, Chief Executive Officer & Director: I'm not following you. What's the question?
Andrew Paul Wolf - BB&T Capital Markets: I'm sorry. You gave us U.S. Broadline operating profit, you gave us all the – sort of the mini P&L except for the sales increase on the U.S. Broadline. And just so we could get a sense of where the leverage was, sort of back of the envelope I got to a little over 3%. Is that about right?
William J. DeLaney - President, Chief Executive Officer & Director: Let us dig for that and we'll come back to you on that one, too.
Andrew Paul Wolf - BB&T Capital Markets: Again, I just wanted to follow up on, when Joel was talking about the other income, because fourth quarter was even a bigger number than this quarter. And to be honest, I didn't quite understand what you meant by the elimination of some non-Sysco portion and what that meant. So first it's – the last two quarters combined, it's added $0.03 to EPS, about $0.01 this and about $0.02 last quarter. So is this something that's going to be a meaningful or smallish meaningful part of earnings going forward? Or do we just get two more quarters of some kind of change in accounting?
William J. DeLaney - President, Chief Executive Officer & Director: I would just tell you it's line item gymnastics and then I'll let Joel kind of take it from there.
Joel T. Grade - Chief Financial Officer & Executive Vice President: Yeah. The way I would think about that, again, it's joint ventures that are reported on a consolidation method. So if you look at each one of the lines in sales, gross profit, expenses, operating income, up above the operating income line, they're consolidated and then below the line the portion that's, I'll say, the non-Sysco, the part that we don't own is backed out. So if you net out all of it between the above the line and below the line, it's a relatively small number, but that's the way the accounting works and that's why that part of it shows up in the other income. Hope that helps?
Andrew Paul Wolf - BB&T Capital Markets: Okay.
Joel T. Grade - Chief Financial Officer & Executive Vice President: Yeah. There's a non-majority ownership, in other words, and then so the whole thing's reported up above and then the minority, the part that we don't own, is backed out down below.
William J. DeLaney - President, Chief Executive Officer & Director: Andy, and the U.S. Broadline sales, looks like it's a little over 2%.
Andrew Paul Wolf - BB&T Capital Markets: Little over 2%. Okay, thank you. I'll just talk to you offline about the other income thing. Thanks.
Operator: And our next question is from Ajay Jain from Pivotal Research Group.
Ajay Jain - Pivotal Research Group LLC: Oh, boy, thanks. I just had a question about some of the cost-cutting opportunities. It seemed like at your investor conference one of the major themes was you've got a very growth-oriented outlook. And I understand that it's very early in your three-year planning process and that it's not a linear runway. But just from a cost-cutting perspective, where do you see the addressable opportunity and what are some of the major pockets, if you can talk about that? And then as a related question, like could you significantly reduce some of the variable costs like payroll costs without hurting your sales? So to what extent is that an issue in relation to your three-year outlook? Thanks.
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, Ajay, I think what we certainly attempted to convey at the Investor Day was we need to continue to grow. We believe we can grow profitably and take share in the right way, but it needs to be more targeted growth than what we've seen over the past. We need a little more balance between the corporate-managed growth and the local growth. And it's not that we don't want corporate-managed growth, we do, we just need to see a little bit more balance there. So I think on the cost cutting, the way I actually look at it in terms of running a business, we'll go to your last question, which is to cut costs, there's no trophies for cutting costs, right? So to cut costs and to do it in a way where you don't anticipate what the downside would be, would be somewhat foolish on our part. And that's why we're taking some time here on the administrative cost side to go through and look at the work, look at the prioritization of the work, look at the sequencing of the work, look at the structure, look at how much we still need to do on the technology side, for example, to continue to be up there in front with our customers and be responsive to their needs. So what we're doing right now is prioritizing all that in a way that we need to put it together in a fiscally responsible way and then we'll bring it back to you and to our customer base and to our associates in the most balanced way that we can and in the least risky way that we can. So certainly, if we were to go out and cut back dramatically on customer-facing technology support or customer-facing associates, that wouldn't be very smart way to proceed here. So we're proceeding – we see opportunity, as I've said multiple times now, in all parts of the business. Where you're seeing us focused primarily right now is on supply chain and the administrative side. And I think over the next couple quarters, we'll be able to give you more visibility to that.
Ajay Jain - Pivotal Research Group LLC: Great. Thank you.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you.
Operator: And we'll take Kelly Bania from BMO Capital Markets. Please go ahead.
Kelly A. Bania - BMO Capital Markets (United States): Hi. Good morning. Thanks for taking my questions. I was just curious as you look at your case growth, either local or in total, if you could talk about any of the trends that you're seeing there, either product types or categories that are really working well? And I guess, somewhat related to that, many restaurants and QSRs have recently announced plans to transition their proteins towards antibiotic-free, and I was just curious if you could talk about how you're positioned against that trend with both your customers and suppliers?
William J. DeLaney - President, Chief Executive Officer & Director: Kelly, it's Bill. I think on the first part of the question, if you go back and look over the last two or three years and look at where our growth has come out, I think we've done a really nice job in building out the center of the plate. So in particular, those protein items that you're talking about, whether it's meat, seafood, poultry, and even the produce and dairy, along the way, so continue to, I think, see good opportunity there. A lot of it's fresh, not all of it though. I think it's still a little early to tell. We certainly acknowledge and are reacting and trying to be as proactive as possible in terms of some of the accelerating trends as it relates to the local and the organic and that type of thing as well as the ethnic opportunities. I would tell you those are real trends and meaningful and very important to our customers. I don't know that I can tell you today that that's really driving substantial dollars, but certainly it's an area where we need to be going forward. I think your second question, I probably need to do a little more work on. I think we've had some good initiatives going on, both on the merchandising side of our business, in particular in conjunction with CatMan, in the sustainability area, and we're putting more resources into those. So let us come back to you on that in terms of how all that winds up going forward.
Kelly A. Bania - BMO Capital Markets (United States): That's helpful. And then just on deflation, I think last year when inflation was running quite a bit higher, there was some difficulty in passing all those on. Could you just talk about how deflation impacted your gross margin in the quarter? Was there any lag in passing that along? Was that helpful to the gross margin? Or I guess it depends on the category, but any color you could provide there?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, I get this question a lot and I'm going to stay consistent with what I've always said. The ideal place for us to be would be to have two to three points of inflation across every category. I mean, that's as good as it gets, I've never seen it in 27 years of doing this. But that would be very good. And why is that? That's because history tells you and the data tells you that most of our customers are able to pass that type of increase along in a reasonably manageable way, and in a way that works for their business. So 2% to 3% overall would be fine. When it gets up over that, 4%, 5%, 6%, that's not good for our customers, and that's when it starts to also make it difficult for us to pass that much along on a timely basis. Deflation would be the least attractive of all of those. It probably does – it certainly does help your margin to some extent in terms of the percentage. But as we all understand, you're taking fewer dollars to the bank to pay bills. So it puts a lot of pressure on your expenses along the way. So deflation, we haven't seen a lot of it. We did some work on this. I think over the last decade, we've only had deflation a couple times and I think it's ranged from, in one instance, 0.25% or so, in another instance, maybe up to 0.75%. We think we'll probably be on the longer end of that this time around. But it's a challenging environment. But I will tell you, I think we're doing a good job, striking the right balance in terms of managing that down in a way that works for the customer, but still is working for us, and I think you saw that in the numbers this quarter.
Kelly A. Bania - BMO Capital Markets (United States): Got it. And then just one other question. You talked in the beginning about some of the economic factors being somewhat mixed overall, but then you mentioned, I think, that there was a pretty sharp pullback in confidence among restaurant operators. And I was just curious you had any color on what you think drove that or what maybe you're hearing from your customers about why that would be?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, I think what we said on the restaurant part of it was it went back to kind of where we were about a year ago. So I mean it's still much improved over the last three or four years, both in consumer confidence and in those NRA statistics. We're almost back to where we were in 2009. Again, that's 2009, so need to put that in some context. It's hard to pinpoint. Look, restaurant operators, they're people like all of us. So I think when you see a stock market going up and down with that kind of volatility, it makes people nervous, and that could be part of it. What we're really telling you is there didn't seem to be any discernible medium-term trend. It's up for a quarter or two and then it's down and then back up again. So overall, in the context of looking back two, three, four years, it's much better. It's just hard to see a pattern here.
Kelly A. Bania - BMO Capital Markets (United States): Great. Thank you.
William J. DeLaney - President, Chief Executive Officer & Director: Thank you.
Operator: And we'll take our next question from John Ivankoe from JPMorgan.
John William Ivankoe - JPMorgan Securities LLC: Thank you. Just actually a quick follow-up on your comments on the industry. Could you talk a little bit about, if it's appropriate, October? And I ask this, whether it's casual dining or even some fast casual that there was some apparent slowdown in October relative to previous months. Is that something that you're seeing in terms of your Street and Broadline accounts as well?
William J. DeLaney - President, Chief Executive Officer & Director: Actually, I haven't seen a lot of October data yet, John. Our trends are pretty similar to what we saw in the first quarter. As I said, deflation has accelerated a little bit more, but we're not seeing any big change. It's tough for us week-to-week. Holidays fall on different weeks or days and that kind of thing, but I would just tell you sitting here, I can't tell you there's been any big shift in demand or anything like that.
John William Ivankoe - JPMorgan Securities LLC: And thank you for that. Then secondly, obviously, the restaurant industry gets the opposite of what it was a couple of years ago where there's no labor inflation and there is significant commodity inflation. So as you think about the pricing environment as you can pass on pricing to your restaurant customers as your own labor costs are higher. Do you think we're in an environment that could be modestly better from a pricing environment relative to what we've seen before?
William J. DeLaney - President, Chief Executive Officer & Director: I'm sorry, could it be what?
John William Ivankoe - JPMorgan Securities LLC: Are we in an environment where you can pass on more pricing to restaurant customers than you could before? I mean, I understand that you are – the pricing of your products coming in through your back door is deflationary, but is this a potentially better pricing environment from Sysco into the restaurant customers as restaurant customers are seeing (51:08)?
William J. DeLaney - President, Chief Executive Officer & Director: Yeah, I don't know about that. I think what you're hearing from us is we begin to develop a real revenue management process as there's opportunities for us with analytics in terms of the segmentation we're doing, both across product categories as well as customers. There's opportunities for us to be smarter and more consistent and to be more on the market in terms of what's important to our customers. So I think that's the bigger opportunity. I was with a customer the other day, and you were pointing out labor, it's the biggest thing we hear today from every customer we talk to, and you see it in the press. There's a labor shortage out there. They're having to adjust their cost structure accordingly. And I think that actually does the opposite of your question, it puts a little more pressure on us on pricing because they're always looking for opportunities to manage their costs. But overall, I'd say it's not a bad environment right now from a pricing standpoint, other than the deflation aspect of it.
John William Ivankoe - JPMorgan Securities LLC: Understood. Thank you.
William J. DeLaney - President, Chief Executive Officer & Director: Okay.
Operator: Ladies and gentlemen, this does conclude our question-and-answer session. We appreciate everyone's participation. I'd like to turn the conference back over to our speakers for any closing and additional remarks.
Neil A. Russell - Vice President, Investor Relations, Sysco Corp.: Thank you, everyone for joining us today. We appreciate your time. As always, if there's additional follow-ups, please let us know. Thank you.
Operator: Ladies and gentlemen, that does conclude our presentation for today. We appreciate everyone's participation. You may now disconnect.